Jean Poitou: Good morning, good afternoon, good evening. I'm Jean Laurent Poitou, the Chief Executive Officer of Ipsos, and I'm delighted to be joined by you in presenting our third quarter results for the year 2025. I'm joined by Dan Levy, our Chief Financial Officer. Over the next 45 minutes or so, I will start by sharing a few observations about what I've seen since joining Ipsos last month. I'll share a little bit about myself, my background, and I'll talk about a few of the beliefs on which we will ground our strategy for the next few years. Dan will present our results, and we will open up, of course, for questions-and-answer session. Let me start with a few observations regarding what I've seen since joining Ipsos and spending time across various geographies with our clients, with our technology and digital partners and most importantly, with our teams. First of all, Ipsos has a unique position as an independent leader in market research. One of the characteristics that struck me most is the global reach and diversity of geographies, of sectors, of services we offer. No other firm have this combination of looking at, in particular, the people as citizens, as patients, as clients or customers who experience the channels and products of the companies we serve. That is combined with a long history. Ipsos is actually celebrating its 50th anniversary this year, which on top of the legacy it gives us, provides us with unmatched depth, breadth and length of data, which is the fuel without which no technology, digital and particularly artificial intelligence-based solution can be trained. The other thing I've been very impressed with is the robustness and diversity of our cadre of close to 20,000 people ranging from sociologists, project managers, researchers, data engineers, data scientists, field interviewers and all the support functions. Ipsos has a unique diversity of talent. I've also been impressed in discussing with clients, also with technology partners, digital solution providers that we work with and leverage with the trust and respect that Ipsos has in our industry. And that trust, particularly the trust from our clients, which materializes in the long-term relationship we have with many of our largest customers, is one of the foundations on which to build our future sustainable profitable growth. And then finally, we have the means to our ambitions. We have the financial profile with growth, and we will talk about that some more as we talk about our results; profits and cash, which are allowing us to have the wiggle room to invest or repurpose some of the existing investments into what we believe is critical to accelerate our organic growth in particular. So we have the means of our ambitions. However, we cannot rely on what got us there. My experience, which I'll talk about in a minute, shows me that it always is critical to be able to change and have the courage to change, in fact, at the moments when we are successful. There's no room for complacency in this rapidly evolving market. And in particular, as I think about the main 2 things I want to focus on, one, while our growth has been steady, the organic component of that growth does need to accelerate. It is absolutely critical. Second, I strongly believe that being a technology-enhanced professional services firm means that we need at this point of inflection in how technology, digital solution, artificial intelligence change the way many industries evolve. We must embrace this even more. There are very solid foundations on which to build, and we need to accelerate. We need to accelerate with speed as the main thing our clients are demanding of us and scientific rigor as the absolute mandatory ingredient. Without which, our clients won't trust the insights that we provide them based on the combination of what we learn from the real-world respondents we interview and mobilize and the data, including synthetic respondent that we leverage. So my beliefs in what will guide our direction moving forward. We will continue to be the diversified firm we are. We will have this unique advantage of leveraging the history of data that we can rely on and the breadth and depth of data so that we can train models and provide insights that are usable and actionable at speed with scientific rigor. And then we will continue to leverage the fundamentals of rigor and discipline, which I'm very clear are needed more than ever to drive the sustainable profitable growth I mentioned. I have the background to deliver on these ambitions. I come from over 3 decades of being a consultant, but more importantly and significantly over 2 decades being a leader in the professional services industry. I have a very international profile and background. I spent some of my youth in the U.S. I was an expatriate in Asia, based in Tokyo over a number of years. I've worked and lived across a variety of European countries. I understand the differences in the markets we serve from the U.S. to China, from Europe to Asia Pacific. I'm also a very growth and innovation-focused leader. And I believe that growth through innovation is, as I just touched on briefly, a key ingredient of what is going to drive Ipsos moving forward. Now I will be able to talk more about how those ingredients materialize in a strategy and financial trajectory for the years ahead. In January as it's pretty clear that with just a month or just over a month, in fact, under my belt at this point, it would be unreasonable to do it right now, even though I have the luck to be leveraging a lot of work that has gone on into building the strategy that I will disclose on January 22. In terms of what I will do over the next few weeks, I just mentioned that finalizing the strategy is absolutely critical. You all want to understand what we will be investing in, how we will continue to leverage mergers, acquisitions, but also partnerships as a way to fuel our growth as Ipsos historically has with over 100 acquisitions throughout its 50 years of history. I will be spending a lot of time, as I've already started to, in the field, meeting with the people, meeting with the clients where the action actually means that I will be able to get the best sense for what is critical in our future success. And then while we work on the long-term strategy, I will be raising the bar on execution on a few areas of rigor and execution discipline where it is absolutely critical that we get it right now and not later. So with that, let me hand it over to Dan, who will present our results for the quarter. Dan?
Dan Levy: Thank you very much, Jean Laurent. So Ipsos posted a good performance in Q3 with a total growth in Q3 of 7.6%. And as you can see, an improvement in organic growth, 2.9%, compared to Q1, which was minus 1.8% and Q2, 0.7%. If we look at the first 9 months of the year, we posted a EUR 1.8 billion -- nearly EUR 1.8 billion revenue since the beginning of the year with a total growth of 3.6%, organic growth of 0.7%. Obviously, FX effect with negative impact, which is mainly linked to the depreciation of the dollar and a few other currencies against euro and the scope effect of around 5%, which is mainly coming from the acquisition of BVA of infas that we did since the beginning of the year. The situation is improving in the U.S., where organic growth since the beginning of the year amounts to 0.9%. And the U.S. is still a bit of a tale of 2 cities. Excluding Public Affairs, we are growing organically by 3% since the beginning of the year, and this is on the back of improvement in the pharma sector, good performance with CPG clients. But on the other hand, we do have a tough political context in the U.S., as you all know, with the DOGE at the beginning of the year and the shutdown that has now happened a few weeks ago, and we don't know how long it is going to last. And all of this, obviously, is continuing to impact our Public Affairs business, which is down by 15% since the beginning of the year. We see a good improvement and growth improvement across all regions in the third quarter. I've already spoken about Americas. But if you take EMEA, EMEA is growing by 10% as a total growth on the back of the acquisition of infas and BVA. Organic growth at the end of September is 1.6%, which is a good performance given the tough comparative that we had last year. And only on the third quarter, we are growing by 3.2% in EMEA. We see good performance in Continental Europe but also in Middle East, but this is partly offset by the situation in France, where, as you know, there is a lot of political instability. France is down because of this political instability and Public Affairs by 4%. If we were to strip out the Public Affairs business, France would be in slight positive growth. In Asia Pacific, we see a slight positive growth in China. But again, this is offset by the Public Affairs business in several countries in Asia Pacific, particularly in Australia, New Zealand and India, where there have been, either in '24 and '25, general elections and sometimes tough budget constraints. If we now move to the performance by audience, we see good performance across most audiences, but obviously, the performance is held back by our Public Affairs business. Our service line, which are dedicated to consumers, clients and employees are growing by 2% since the beginning of the year. This performance is driven by our activities relating to ad testing to marketing spending optimization and to mystery shopping. The Doctors & Patients audience is growing and is recovering compared to what we saw last year in 2024. It is growing by 5% since the beginning of the year organically. This is on the back of coming -- recoming innovation on a lot of several of pathologies. But on the other hand, there are risks on these audiences, which are coming from the current discussions in the U.S. on drug pricing and also the slowdown in the drug approvals by the FDA after there has been a few thousand layoffs in the FDA with the DOGE action. As you see, the Citizens business is really driving down the performance, minus 9.2% since the beginning of the year organically. It continues to impact by political instability, and this is the case in the U.S., in France and again, in several countries in Asia. If you strip out the Public Affairs business, our organic growth at the end of September would stand at 2.3% instead of 0.7%. And if we strip it out on the third quarter, we would grow by 4.2%, excluding Public Affairs, which shows how our performance is weighing down by Public Affairs and the rest of the business is doing well. We continue to see very good momentum on Ipsos.Digital. Over the first 9 months of the year, we are growing organically by 28%, mainly on product testing and ad testing. The profitability of Ipsos.Digital is twice the profitability of the group, and we target around EUR 140 million of revenue on Ipsos.Digital for 2025. So at the end of the third quarter, you have understood that the group posted a solid performance among the private sector clients, but the group organic growth is being impacted by our business on Public Affairs on the back of political instabilities, many general elections, budget constraints. And as a consequence, we revised our organic growth target to around 0.7% for 2025. Our operational discipline and financial discipline enables us to maintain and confirm our operating margin at around 13% at constant scope. This is excluding the temporary dilutive effect of the acquisitions of BVA of infas, which are estimated at around 60 basis points for 2025. I thank you for your attention. And now I hand over to Jean Laurent for some concluding remarks.
Jean Poitou: Thank you, Dan. And I would like to emphasize what impresses me most in today's discussion, which is the growth trajectory, starting the year with minus 1.8% in the first quarter all the way to 2.9% in the quarter we're announcing today, which is a number that Ipsos hasn't reached in quite a while. And I think it's important to note that. And the other thing that is very important, as we all think about the impact that several disruptions, particularly digital AI and technology disruption may have in our markets. Our private sector activities, the ones where probably the innovation intensity is one of the highest, continues to grow quite significantly with 2.3% year-to-date and most importantly, 4.2% over the quarter we're announcing today. So those are some of my takeaways and things that I wanted to emphasize. Now I have to invite you to the very important Investor Day we intend to hold in January. That was initially scheduled to be in November. But as I alluded to in my introductory comments, it's quite clear that we need a couple of months to actually make this strategy mine and finalize it with the many people who are working on it together with me at the Ipsos management and in the teams. And then there will be the announcement of our annual results on February 25. Let me now open it for questions and answers.
Operator: [Operator Instructions] The first question is from Conor O'Shea at Kepler Cheuvreux.
Conor O'Shea: A couple of questions from my side. Just in terms of the lower guidance in the fourth quarter, could you give us a little bit more color in terms of the -- is this all Public Affairs related? And if so, in which markets? In particular, is it mainly the U.S. because of the shutdown? Or is it also in the French and U.K. markets? And also a broader question in terms of the sort of below par growth and maybe a bit early for you, Jean Laurent, to say, but do you see any kind of deflationary kind of drag on growth from AI, from generative AI so far? Or is the weaker growth only coming from -- or mainly coming from Public Affairs?
Jean Poitou: So maybe on the last question, of course, this is not the time for growth outlook in '26, and we will talk about that some more early '26. But looking back, though, what I mentioned in my closing comments is the fact that in the private sector, where we are seeing probably some of the most intense AI-driven potential disruption, it hasn't been visible in our activity levels or in the deflationary impact you mentioned. That's one thing that I want to observe. Now obviously, we are watching that space and both looking at how our unique positioning in the market with the breadth of data will actually allow us to leverage what you just alluded to rather than be the victims of it. So that I'm very convinced is going to be a very important part of the strategy we announced in January. Now...
Dan Levy: Yes. On the guidance, so it's true that we have seen an order book in Q3 and particularly in September, which was lower than expected during the summer. It is mainly coming from Public Affairs. And as you say, it's mainly U.S. and France, plus a few other countries that I mentioned during the presentation in Asia and particularly Australia, New Zealand and India. And not only have we seen lower order book than expected in Q3, but obviously, we also do the consequences on that in Q4 because we can imagine that given the political instability in France, for instance. And given the shutdown in the U.S., this is unlikely to improve significantly in Q4. So at the end of the day, the lower guidance is a consequence of not as good as expected situation on Public Affairs, particularly in the U.S. and France.
Operator: The next question is from Marie-Line Fort, Bernstein.
Marie-Line Fort: I've got two questions. The first one is about the Public Affairs segment, very naive question. The Public Affairs that still a real future given the increasing budgetary constraints? And how in the future will you deal with the restriction in the budget? The second question is about the BVA integration, how it's going on? And are you still targeting breakeven 2026, 2027? Could you give us an idea about that?
Dan Levy: So maybe I can take the one on the Public Affairs. I think we should not be too much focused on the present. It is true that Public Affairs business has been difficult in 2024 and in 2025 for reasons that we clearly understand. There has been a lot of general elections. And we know that when there are general elections, there are patterns of electoral cycle, which tends most of the time to slow down the Public Affairs [ comments ]. On top of that, there has been some political instability in many countries and some budget constraints. It is true. On the other hand, we need also to remind us that Public Affairs started to use market research very late compared to private sector, and there is a catch-up that could keep on going in the next few years. And we are, at Ipsos, probably the only large actor on Public Affairs. Public Affairs tends to be a local market. We are the only large actors. Most of our competitors have divested their Public Affairs business. So there is a case, I mean, for growth in Public Affairs in the future, and we will -- when we will announce our strategy in January, decide whether this is a pillar of our strategy. But I think we should not remain too focused on the last 2 years, which it is true had been tough for Public Affairs, but which doesn't mean that it will be the case in the future.
Jean Poitou: Regarding the integration status of the acquisitions, and I'll focus probably on the largest one because it's a large one and the largest one Ipsos has done since 2018, the BVA Family. It is proceeding. I'm coming from a history of having worked with companies that go through M&A transactions, I must say that the speed at which it is happening is a proof of the muscle memory of the ability that Ipsos has to acquire and integrate rapidly, particularly with the strength of its operations and financial and processes that are absolutely the same everywhere, which allows for these integrations to go relatively quickly and smoothly. We are already leveraging synergies. The organizations are aligned. We are also scaling the very important asset of the package testing, PRS IN VIVO, which was one of the key ingredients. And I must say, having been with the BVA teams in France and in Italy with DOA, it's a very cultural integration that is going on at the moment. Of course, it takes a bit of time. We're only 4 months into it. So I believe that it will take the usual 18 to 24 months to completely be less dilutive than it is today. And so we confirm that there is a transitional profitability dilution of around 60 basis points on this year's results.
Operator: [Operator Instructions] Gentlemen, there are no more questions registered at this time. I turn the conference back to you for any -- excuse me. We do have one further question from Anna Patrice, Berenberg.
Anna Patrice: Yes. Thank you very much for the introduction and all the information provided. Could you comment a little bit more on where you have seen acceleration because you had quite a good performance in Europe and in America in Q3? So a bit more specific, what has been driving this improvement? And why you think it will be accelerating in Q4 apart from Public Affairs?
Dan Levy: Yes. So we have seen acceleration in Q3 on the back of a few service lines that I mentioned before, which are the consumers and clients audiences and particularly on things like ad testing and also mystery shopping. And as I said before, the profile of Q3, Q4 is mainly coming and the fact that as a consequence, we might see some slowdown in Q4 as a consequence of the guidance we just revised is again mainly coming from Public Affairs.
Anna Patrice: Okay. But then the weight of the [indiscernible] is it more Q4 or Q3 or it's much the same thing? And does it mean that the Public Affairs will further decline. So it is minus 15% year-to-date. Do you expect that it will further decline in Q4? So more than 15%?
Dan Levy: Yes. So again, as I said before, we have seen a lower-than-expected order book in the summer, particularly on Public Affairs with some delays in the decision-making, sometimes some cancellation of projects, particularly in the U.S. with the DOGE. And we have also drawn the conclusions in the Q4 forecast to an extent. So we have done very recently a new forecast with our countries to see where we stand when we look towards the end of the year. So the revision of the guidance, again, is coming mainly from lower-than-expected order book in Public Affairs in Q3 and the consequence we draw for Q4, given the fact that it's probably unlikely to improve in Q4. Now I'm not going to give specific numbers, but obviously, the numbers that we see on Public Affairs in Q3 and Q4, and the fact that we are doing good performance on the private sector on the private client sector is consistent with the new guidance of 0.7% organic growth for 2025.
Anna Patrice: Okay. Understood. Another question to Dan, please. Before you were also communicating the growth by the client sectors like CPG, telecom, financial services, automotive, et cetera. So can you provide a bit more details how the growth was across the client sectors, please?
Dan Levy: Yes, sure. So on the CPG clients, we are growing, and that's a good performance despite the tough comparison that we had last year. On CPG, we grew by 6% last year. I think, again, this reflects the fact that the CPG clients in a very evolving world needs to know a lot about change in consumer behavior, market and pricing optimization, measure of the impact of their advertising campaign. We see also very good performance on IDP, our DIY platform. Obviously, in the CPG, the situation is quite different across the different players. There are players where the growth is high and other players, a few of them, which are implementing currently some cost-saving measures. So this is what we see on the CPG. On the health care, I've already commentated what's going on. Public Affairs, we discussed it quite a lot. Maybe a few words on the big tech clients. On the big tech clients, we see, as you know, a very fierce competition among the different clients, the different big tech clients on AI, which are -- who are investing billions and billions to build new models and to build new apps using generative AI. As a consequence of this, these big tech clients tend to have shifted their market research demand from the marketing use and the marketing teams to the product development teams because they are investing a lot quite ahead of the innovation cycle, and we are clearly adapting to that. We also see, and Jean Laurent has mentioned that, that speed is absolutely key for these big tech clients. They need to have faster insights and they need to have also AI-integrated solutions. And again, a bit like in the CPG client, the situation is quite diverse among the different players. We see very strong growth with some of the big tech clients and lower demand with others.
Operator: And the last question is coming from Marie-Line Fort, Bernstein.
Marie-Line Fort: I just want to understand what is really missing to Ipsos to deliver stronger organic sales growth. It is a question of mix, technological tools, speed to market, execution. Could you classify what the importance in terms of these topics?
Jean Poitou: Yes. Of course, a lot more will be shared as we finalize the strategy and discuss it with you on January 22. But you mentioned some of the key ingredients. Speed is absolutely the thing that clients are demanding of us. And the fact that we have solutions ranging from Ipsos.Digital to some of the solutions we have in, for example, creative or in product innovation are foundations, but we need to continue and accelerate, and that will be a big part of our prioritized investment and focused investments that we will spend more time disclosing in January 22. But we will be leveraging both for the processing chain. Everything from automated scripting to integrated and automated data processing all the way to more interactive and real-time data insights provisioning to our clients through the dashboard and the interactive tools we will put in their hands. So that has a significant impact both on speed and on the richness of usage and actionable insights that can be provided to our clients. And then we will also be using AI a lot more in the years ahead to create differentiated solutions, whether it is to generate more insights in the product innovation space, whether it is to accelerate it in creative or in market research for market and society understanding. So 2 main areas of focus. One is speed through accelerated and automated delivery of our research activities. The second one is a lot more customized and easy to use for our clients, parts of the technology stack on the client-facing activities that we do for them.
Operator: Gentlemen, there are no more questions registered at this time. I turn the conference back to you for any closing remarks.
Jean Poitou: Thank you very much. Thank you very much for attending today. I will be very happy to spend time with you again on January 22 for our Investor Day and then on February 25 for our annual results. Thank you very much.